Operator: Good morning, ladies and gentlemen and welcome to the First Quarter of 2022 CVB Financial Corporation and a subsidiary Citizens Business Bank Earnings Conference Call. My name is Olivia and I'm your conference operator for today. At this time all participants are in a listen-only mode. Later we will conduct a question-and-answer period. Please note this call is being recorded. I would now like to turn the presentation over to your host for today's call, Christina Carrabino, you may proceed.
Christina Carrabino: Thank you, Olivia, and good morning, everyone. Thank you for joining us today to review our financial results for the first quarter of 2022. Joining me this morning are Dave Brager, Chief Executive Officer, and Allen Nicholson, Executive Vice President and Chief Financial Officer. Our comments today will refer to the financial information that was included in the earnings announcement released yesterday. To obtain a copy, please visit our website at www.cvbank.com and click on the investors tab. The speakers on this call claim the protection of the Safe Harbor provisions contained in the private securities litigation Reform Act of 1995. For a more complete discussion of the risks and uncertainties that may cause actual results to differ materially from our forward-looking statements, please see the company's annual report on Form 10-K for the year ended December 31, 2021 and in particular, the information set forth in item 1a risk factors therein. For a more complete version of the company's Safe Harbor disclosure, please see the company's earnings release issued in connection with this call. Now, I will turn the call over to Dave Brager. Dave?
Dave Brager: Thank you, Christina. Good morning, everyone. For the first quarter of 2022, we reported a net earnings of $45.6 million, or $0.31 per share representing our 180th consecutive quarter of profitability. We previously declared an $0.18 per share dividend for the first quarter of 2022, which represented our 130th consecutive quarter of paying a cash dividend to our shareholders. First quarter net earnings of $45.6 million or $0.31 per share, compared to $47.7 million for the fourth quarter of 2021 or $0.35 a share, and $63.9 million for the year ago quarter or $0.47 per share. On January 7, we announced the completion of our acquisition of Suncrest Bank. Our financials for the first quarter of 2022 included 83 days of Suncrest operating results, as well as acquisition related expenses of $5.6 million. At close, Citizens Business Bank acquired $766 million of net loans assumed $513 million of non-interest bearing deposits and $670 million of interest-bearing deposits from Suncrest. For the first quarter of 2022, our pre-tax pre provision income was $65.9 million, compared with $66.8 million for the prior quarter and $70 million for the year ago quarter. If acquisition expenses excluded, pre-tax pre provision income would have been $71.5 million, a $4.7 million increase from the fourth quarter of 2021. A particular note this quarter, we had a strong core loan growth represented by 5% growth from the end of the first quarter of 2021 and 8% annualized growth from the end of 2021. We also expanded our net interest margin by 11 basis points when compared to the fourth quarter of 2021. We recorded a loan loss provision of $2.5 million for the first quarter. In comparison, we did not have a provision in the fourth quarter of 2021 and recorded a recapture provision for credit losses of $19.5 million in the first quarter of 2021. As previously announced, we executed on a $70 million accelerated share repurchase program at the beginning of February that had the effect of reducing our share count by approximately 2.5 million shares. In addition, we repurchased 536,000 shares under a 10b5-1 share repurchase program that became effective at the beginning of March. Now let's discuss loans in more detail. Our new loan production was very strong in the first quarter. New loan commitments were approximately $439 million, which is higher than the same period of last year by approximately 14%. Total loans at quarter end were $8.6 billion, a $704 million increase from the end of the fourth quarter. Total loans included $766 million of net loans acquired from Suncrest Bank or $775 million when excluding the $8.6 million allowance for credit losses from Suncrest PCD loans. Excluding the loans acquired from Suncrest, loans declined by $70.5 million. However, after excluding PPP loan forgiveness loans acquired from Suncrest, and the seasonal decrease in dairy and livestock loans, first quarter loan growth was $144 million, or approximately 8% annualized. The core loan growth in the first quarter was led by continued growth in commercial real estate loans, which grew by $100 million and C&I loans which increased by $27 million when compared with the end of the fourth quarter. The line utilization rate for C&I loans was 31% at the end of the first quarter, compared with 29% for the fourth quarter and 26% for the year ago quarter. Single family mortgage loans also grew by $14 million from the end of 2021. Dairy and livestock loans decreased by approximately $110 million from the prior quarter as we experienced paydowns in the first quarter of each calendar year as a result of the temporary increase we experienced in the fourth quarter of each year. PPP loans declined by $105 million compared with the fourth quarter due to the continued forgiveness of these loans. At quarter end, non-performing assets to find this non-accrual loans plus other real estate owned were $13.3 million compared with $6.9 million for the prior quarter and $15.3 million for the year ago quarter. At quarter end, we had no OREO properties, and the $13.3 million in non-performing loans represented 15 basis points of total loans. During the first quarter, we had net loan charge offs of $5,000 compared with net loan charge offs of $345,000 for the fourth quarter of 2021. At March 31, 2022, we have loans delinquent 30 to 89 days of $2.6 million, compared with $2.5 million at December 31, 2021. Classified loans for the first quarter were $64.1 million, compared with $56.1 million for the prior quarter and $69.7 million for the year ago quarter. Classified loans declined by $9.5 million, when excluding the $17.5 million in classified loans acquired from Suncrest. Now I'd like to discuss our deposits. At March 31, 2022, our total deposits and customer repurchase agreements were $15.1 billion compared with $13.6 billion at December 31, 2021 and $12.6 billion for the same period a year ago. Excluding the approximately $1.2 billion in deposits acquired from Suncrest total deposits and customer repos increased by $285 million from the end of 2021 and by $1.3 billion from March 31, 2021. At March 31, 2022, our non-interest bearing deposits were $9.1 billion compared with $8.1 billion for the prior quarter and $7.6 billion for the year ago quarter. The ending balance at March 31, 2022, included $513 million in non-interest bearing deposits acquired from Suncrest. Excluding the acquired deposits, our non-interest bearing deposits grew by $490 million. During the first quarter, non-interest bearing deposits averaged $8.72 billion, a $395 million increase from the average balance in the fourth quarter. A key differentiator for our bank is the level of non-interest bearing deposits. Non-interest bearing deposits were greater than 61% of our average deposits for the first quarter and 62.9% as of March 31, 2022. The bank's funding is entirely core customer deposits and customer repos, which combined had a cost of just three basis points in the first quarter. This three basis point cost of funds compares with three basis points in the prior quarter and seven basis points for the year ago quarter. I will now turn the call over to Allen to discuss our investments, acquisition accounting allowance for credit losses and capital. Allen?
Allen Nicholson: Thanks, Dave. Good morning, everyone. We deployed some of our excess liquidity during the first quarter into additional securities by purchasing more than $1 billion in new securities. With yields on average of approximately 2.4%, including the $130 million in securities acquired from Suncrest, our total investment securities increased by $900 million from the end of the fourth quarter to $6 billion as of March 31, 2022. Investment securities available for sale or AFS securities totaled $3.65 billion, inclusive of a pre-tax unrealized loss of $203 million. Investment securities held to maturity or HTM securities totaled approximately $2.36 billion at March 31. The growth in our investments resulted in the investment portfolio increasing from 33% of earning assets in the fourth quarter to 36% on average in the first quarter. And in addition to the increase in the size of our security portfolio, the tax equivalent yield on the portfolio grew from 1.52% in the fourth quarter of 2021 to 1.7% in the first quarter of 2022. Although we grew the investment portfolio, we continue to maintain a significant amount of funds at the Federal Reserve. Our debt balance averaged more than $1.6 billion for the first quarter, compared to $2 billion in the prior quarter. The acquisition of Suncrest was consummated, utilizing a combination of 8.6 million shares of CVB stock and $40 million in cash, the total consideration of $237 million. Upon the close of the merger, Citizens Business Bank acquired approximately $1.4 billion in total assets, including the $130 million of investment securities, $330 million in cash, and $766 million in net loans. We recorded a core deposit intangible of $4 million, and goodwill of $102 million. The acquired loans recorded at a fair value, which was a net discount of 1.5% on the entire loan portfolio. Approximately 30% of the acquired loans are considered PCD loans, and allowance for credit loss of $8.6 million was established for these loans at acquisition. In addition, these loans were further discounted by almost 2% to adjust them to fair value. Non-PCD loans were valued at a total premium of 0.3%, which was a net of a credit discount of 1.5%. We recorded a loan off provision to establish a day one allowance for credit losses of $4.9 million on the non-PCD loans. At March 31, 2022, our ending allowance for credit losses was $76.1 million or 0.89% of total loans. When excluding PPP loans, our allowance as a percentage of the remaining loans was 0.90%, which compares to 0.84% at December 31, 2021. In addition to the allowance for credit losses, we had $18.6 million in remaining fair value credit discounts from all acquisitions as of March 31, 2022. For the quarter ended March 31, 2022, we recorded a total loan loss provision for credit losses of $2.5 million. Comparatively there was no loan loss provision or recapture of credit losses in the fourth quarter of 2021. On the first quarter of 2021, we had to recapture loan loss provision of $19.5 million. Our economic forecast continues to be a blend of multiple forecasts produced by Moody's. These U.S. economic forecasts, including baseline forecasts, as well as downside forecasts. We continue to have the largest weighting on the baseline forecast, with downside risks weighted among multiple forecasts. Our weighted forecast assumes GDP will increase by 2.6% in 2022, 1.3% for 2023 and then grow by 3% in 2024. The unemployment rate is forecasted to be 4.3% for 2022, 5.2% in 2023, and then a decline of 4.7% in 2024. Now turning to our capital position, shareholders equity decreased by $6.5 million to $2.1 billion at the end of the first quarter. Equity increase from the end of 2021 by $197 million for the issuance of 8.6 million shares to the former shareholders of Suncrest. As interest rates increased during the first quarter, equity decreased due to $142 million decrease in other comprehensive income as a result of about a $200 million increase in the unrealized loss on our available for sale securities. On February 1, we announced that our board of directors authorized the share repurchase plan to repurchase up to 10 million shares of the company's common stock and the execution of a $70 million accelerated share repurchase for ASR plan. Under the ASR, we were initially able to retire approximately 2.5 million shares. In addition, we repurchased more than 500,000 shares under our 10b5-1 stock repurchase plan in March, in total equity was reduced by $83 million in conjunction with the repurchase of approximately 3 million shares of common stock. Our overall capital position continues to be very strong. Our regulatory capital ratios are well above regulatory requirements to be considered well capitalized and above the majority of our peers. At March 31, our common equity tier one capital ratio was 13.6% and our total risk based capital ratio was 14.4%. I'll now turn the call back to Dave for some further discussion of our first quarter earnings.
Dave Brager: Thank you, Allen. Net interest income before provision for credit losses was $112.8 million for the first quarter, compared with $102.4 million for the fourth quarter and $103.5 million for the year ago quarter. The increase in net interest income includes the impact of Suncrest acquired assets and deposits for 83 days in the first quarter. First quarter earning assets increased by $1.2 billion on average from the fourth quarter as a $930 million average increase in the investment portfolio combined with a $670 million increase in average loans were offset by a $365 million decrease in average funds on deposit at the Federal Reserve. During the first quarter of 2022, PPP loans had an average balance of $160 million, compared with $244 million for the fourth quarter of 2021. Our earning asset yields increased by 11 basis points compared to the prior quarter. The increase in our earning asset yield was a result of a 17 basis point increase in investment yields and a shift in the composition of earning assets with investments growing from 33% of earning assets to 36%. While our average amount of funds at the Fed declined from 14% to 10% of earning assets. Our balance sheet continues to be well positioned for rising interest rates, with significant liquidity, including $1.5 billion on deposit with the fed a quarter end and approximately $200 million of expected quarterly cash flows from our securities portfolio. Our tax equivalent net interest margin was 2.9% for the first quarter of 2022, compared with 2.79% for the fourth quarter, and 3.18% for the first quarter of 2021. The increase in our net interest margin was a result of an increase in our earning asset yield while maintaining our very low cost of funds at three basis points. When the impact of PPP loans discount accretion on acquired loans and non-accrued interest rate is excluded. Our adjusted tax equivalent net interest margin was 2.8% for the first quarter, an increase from 2.65% for the prior quarter, but lower than the 2.93% for the year ago quarter. Our net interest margin continued to be negatively impacted by our excess liquidity. During the first quarter we had approximately $1.6 billion on average on deposits of the Federal Reserve earning on average less than 20 basis points. Our net interest margin in the first quarter would have been approximately 31 basis points higher without the $1.6 billion on average on deposit at the Federal Reserve. Loan yields were 4.27% for the first quarter of 2022 compared with 4.29% for the fourth quarter of 2021 and 4.5% for the year ago quarter. Total interest in fee income from PPP loans was approximately $3 million in the first quarter, compared with $4.2 million in the fourth quarter. Excluding the impact of PPP loans, interest income related to purchase discount accretion, and non-accrued interest paid, loan yields were 4.11% for the first quarter of 2022, 4.08% for the fourth quarter of 2021 and 4.23% for the first quarter of 2021. New loan production has generally moved to yields that exceed 4%. Our cost of deposits and customer repos as well as our total cost of funds for the first quarter was three basis points. Interest bearing deposits and customer repos increased on average by $760 million from the fourth quarter, including the deposit acquired from Suncrest, which resulted in a $125,000 increase in interest expense. Our cost of funds declined by four basis points compared with the first quarter of 2021. To-date, we've experienced a little pressure to increase deposit rates despite the recent increase in market interest rates, as well as potential customer expectations. I would note that during the last cycle of rising short-term rates from 2014 through the end of 2018, when the Fed increased rates by 225 basis points, our cost of funds increased by only eight basis points. We believe that our low cost of funds will remain relatively stable, even if short-term rates continue to rise in 2022. Moving on to non-interest income. Non-interest income was $11.3 million for the first quarter of 2022 compared with $12.4 million for the prior quarter and $13.7 million for the year ago quarter. The fourth quarter of 2021 included the $700,000 gain, on sale of an OREO property, and $890,000 from the collection of a previously acquired loan that had been charged off prior to our acquisition of San Joaquin Bank. The first quarter of 2021 benefited from $3.5 million of insurance proceeds from death benefits that exceeded the cash surrender value on bank owned life insurance. Deposit service charges exceeded $5 million during the current quarter, which is an increase of $575,000 compared with the fourth quarter, and we're higher than the first quarter of 2021 by 27%, or $1.1 million. Our trust and investment services fee income decreased by approximately $290,000 compared with the prior quarter will be in $211,000 or approximately 8% higher when compared with the year ago quarter. As previously discussed, our trust business anticipates losing a significant relationship in 2022 due to the relocation of our customer out of state. The impact will be primarily to assets under management however, the revenue impact will represent less than 4% of the 2021 Trust and Investment Services revenue. We expect these assets to start migrating next quarter and to be fully gone by year-end. We did not have any fees from interest rate swaps during the first quarter of '22 or the fourth quarter of 2021. Generally speaking, our volume of interest rate swaps is impacted by the shape of the yield curve with a relatively flat yield curve being more conducive to a higher volume of swaps. Overall, we're optimistic that the addition of Suncrest customers and the extension of our geographic footprint will allow us to grow fee income through a wide array of products and services not previously offered by Suncrest, including wealth and investment management, foreign exchange, and more sophisticated treasury management products. Now expenses, non-interest expense for the first quarter was $58.2 million, compared to $48 million for the fourth quarter of 2021 and $47.2 million for the year ago quarter. The growth and expenses was primarily the result of the acquisition of Suncrest at the beginning of January. The system's conversion from Suncrest legacy banking system was completed in February, which comprised a meaningful percentage of the $5.6 million in acquisition expense for the first quarter of 2022. Excluding acquisition expense, non-interest expense increased by $4.8 million over the fourth quarter of 2021 and $5.4 million over the first quarter of 2021. We will consolidate two banking centers in the second quarter, and by the end of the second quarter, we expect to have completed the integration and consolidations. The third quarter of 2022 should reflect the full benefit of our expense savings. Non-interest expense totaled 1.36% of average assets for the first quarter of 2022 or 1.23% when acquisition expenses excluded. This compares with 1.19% for the fourth quarter of 2021 and 1.32% for the first quarter of 2021. Our efficiency ratio was 46.9% for the first quarter of 2022 or 42.4% when acquisition expense is excluded. This compares with 41.8% for the prior quarter, and 40.3% for the first quarter of 2021. According to various economic reports, the California economy continues to improve but challenges remain. Supply constraints, inflation and labor shortages continue to negatively impact the businesses and the industries we serve. Our bank has experienced similar impacts on our staffing and labor costs along with inflationary pressures that could begin to reduce the excess liquidity our customers maintain in their deposit accounts. Although these issues are concerning, we continue to remain disciplined in our approach and continue to produce consistent earnings, maintain strong capital levels, solid credit quality and excellent liquidity. I'm pleased that we were recently ranked the 17th best publicly traded bank and 2021 by S&P Global Market Intelligence, along with being the fourth ranked bank by Forbes out of the largest 100 publicly traded banks in asset size. This recognition marks the six times since 2016, that our bank is placed in the top four position on Forbes annual rankings, including three number one rankings. In closing, we're pleased to have finalized our acquisition of Suncrest and we welcome the addition of their customers, associates, and shareholders to our growing organization. I'd like to thank our associates for their hard work and dedication through this acquisition, and ongoing integration. We're very excited to have combined forces within an institution that will provide us with a deep pool of talent, a strong and diverse customer base, and a platform for expansion into the greater Sacramento market as well as solidifying our position in the Central Valley. We remain committed to our five core values of financial strength, superior people, customer focus, cost effective operations, and having fun. Please stay healthy and safe. That concludes today's presentation. Now, Allen, and I will be happy to take any questions that you might have.
Operator: [Operator Instructions] And our first question coming from the line of Matthew Clark with Piper Sandler. Your line is open.
Matthew Clark: Wanted to start on the loan yields up a few basis points on a core basis new production now above 4%. Sounds like we may have started to see some lift in those yields. Can you just give us a sense for your outlook on loan yields, given the Fed rate hikes and in just new business?
Dave Brager: Yes. So as I mentioned, in the prepared remarks, the loan yields that we are originating loans out today are definitely above 4%. There are still some things that will book that are a little bit lower than that. But overall, I think it's definitely a tailwind for us. And I think the rates have turned, the key to that, obviously, is we still want to win the best deals, you have to compete. But at the end of the day, I do believe that we will be able to see that sort of start to turn around.
Matthew Clark: Okay. And then on the loan pipeline, can you give us a sense for where that's still coming out of the quarter relative to year-end and maybe even year-over-year and your outlook for growth? I think you had previously suggested, mid-single digits was doable, you did better than that on a core basis here. So just want to get your updated thoughts on that front?
Dave Brager: Yes. I don't really have any changes to what I've been saying that. We had a good quarter. This quarter, we did close a number of things, some of that production was a result of the acquired Suncrest offices as well. But overall, the majority of it was our legacy offices, Suncrest accounted for about $25 million to $30 million of our total loan production in the first quarter. Our pipelines remain strong right now. I will say that, there are some headwinds with respect to the pipelines, especially depending on where rates go specifically 5, 10 year Treasury rates that could have an impact, and slow things down. Obviously, the refinance takeaway game is going to slow down a little bit, I think, for everybody. But for us, we focus on owner occupied, or excuse me, operating businesses and the real estate in the C&I lines. And I think we stopped room, obviously, on our utilization on our C&I loans. That was also a benefit to us, but the pipelines remain strong as of now.
Matthew Clark: Okay. And then just shifting gears to the share buyback pretty active this quarter. Does the growing macro uncertainty give you some pause from here? Do you think you'll remain active?
Allen Nicholson: Well, I mean, the ASR has not concluded yet. And I think, yes, we'll see how things go. But I would anticipate as to not to be the certainly the extent in the first quarter but I think we'll still be modestly active.
Operator: And our next question coming from the line of David Feaster with Raymond James. Your line is open.
David Feaster: I just want to follow up kind of on the loan side. It was really good to see the increase in the C&I utilization, the quarter and the strength in the growth there. Just curious what you're hearing from those borrowers. And their plans on whether looking to draw on lines demand and supply chain and how much of the growth that you saw was from drawings on existing lines versus new commitments?
DaveBrager: Yes, I don't have a specific breakdown of that. But I can tell you that just generally speaking, it was mostly from existing lines. There were some new larger C&I relationships that we put on the books in the first quarter. But most of it was from existing customers. I do believe that, with inflation, with everything going on with supply chain disruptions, I do think that some of the excess liquidity that borrows been carrying on their books will translate, and start to burn off, and then that, hopefully will translate to a little bit more borrowings. So I do think that's something that is definitely a tailwind for us, especially, depending on how long these inflationary pressures persist. I think we're about a year in for the transitory nature of these now. So we'll probably see it goes a little bit longer, I would think. So, I think there's opportunity for up there.
David Feaster: Okay. And then just touching on the deposit front and appreciate all the commentary in the prepared remarks. I mean, core deposit growth continues to remain strong, you guys have a phenomenal core deposit base. Just curious your expectations, going forward, I know, you're not going to have to increase rates, just given the strength of your portfolio. But just hearing the commentary, it almost sounds like maybe you'd expect deposit flows to at least slow, if not begin to flow out. And then just any other comments on the deposit trends that you're seeing?
DaveBrager: Yes. Well, as you know, our focus is on operating companies and non-interest bearing deposits. So we're going to continue to drive that that's something that I think is important, there could be some impact, as I made in my previous comments, just with people utilizing the excess cash they have. But the real advantage, we have, I mean, 100% of our loans, more than 100% of our loans are funded with our non-interest bearing deposits. So the interest bearing deposits on the books, we can be a little more disciplined about rising rates or customers expectations. And we're still sitting with an enormous amount at the Fed. So all of those things combined, I think our strategy is to continue to go after operating companies non-interest bearing deposits, we'll be able to do that we've been able to do that. And I think, we should probably see a little bit of a slowdown, but I think that we can still grow the non-interest bearing side, I think, where you'll see some of that decline is more on the interest bearing side. The one thing with Suncrest, we did as we put them into our pricing structure, pretty much right away. And that obviously helped us on the funding side this quarter. But we'll see the reaction, from as rates start to go up, there will be some opportunities for people to get higher rates. But the great thing that we have there is that we can also look to our citizens trust group and look to investments, I mean, right now they can get a liquidity account at Citizens Trust just by buying treasuries, if they don't need to use that excess funds. And they can get pretty close to 2% and we make a decent fee on that as well. So there's opportunity for us, if it starts to move away, to push it towards our Citizens Trust Group, which is something that we've had a lot of conversation about in this rising rate environment.
David Feaster: Okay. That's helpful. Thank you. And then just, switching gears to asset quality, I mean, credit remains phenomenal. You always got a great track record, obviously, but kind of listening to the commentary about what you guys are including in your seasonal forecasts, a deceleration in GDP growth and increase in unemployment rate. Just curious, what keeps you up at night what you're watching as you're managing your credit and whether you’d be gone tightening the credit box at all.
Dave Brager: We haven't really tightened the credit box. I'll start there, Allen can jump in as well. But we haven't tightened the credit box and we've always remained very disciplined. Our underwriting guidelines are standards, nothing has changed throughout the pandemic. We've remained very consistent and disciplined in how we look at credit. So I feel pretty good overall. There's obviously the ones that everybody talks about. Office is something that everybody's talking about, things are starting to -- we're starting to see some of these leases expire and maybe people moving out. But most of our office and I've mentioned this before is more suburban and rural office. It's not, money center, big city type stuff. And the average granular -- the average loan size and the granularity of that portfolio are very strong. So I feel pretty good about that. I've mentioned to you in the past, I still believe that C&I could be an area. Obviously, my favorite SBA, that's always something we seven, eight loans, we've looked at that. But I think just generally speaking, I feel pretty good. I feel there's more potential for loss content in the C&I than in the real estate just based on how we underwrite deals at the beginning. But I still feel very good about our C&I loan portfolio and gosh, 31%, utilization rate is still pretty low. So, our customers are strong, I feel pretty good about it. But I think inflation, wage issues, supply chain issues, all these things can definitely have an impact on that. So we're keeping a close eye on it. Do you have anything to add to that?
Allen Nicholson: Dave, as you noted, certainly, at a macro level, we're concerned about recession next year, and our forecasts sort of reflects that.
Dave Brager: One other comment I'll make to that just real fast. is, that's a nationwide forecast. And California is still a little bit behind the nation in some of these things. Unemployment specifically.
Operator: And our next question coming from the line of Ben Gerlinger with Hovde Group. Your line is open.
Ben Gerlinger: And here's if we could just take a moment here to kind of talk about the expense base and others a little bit of noise, especially with this recent deal and the branches. I think you said in prepared for next quarter. So 3Q is really kind of the core, I'm curious on what like a core level might be in terms of total expenses. And then if you guys are kind of adding into any sort of investment with any potential cost savings you might be getting?
Dave Brager: I guess, how we would answer that is, I think of the second quarter, it'll be close to a good run rate, and third quarter being completely clean. We're still planning on investing in technology, as we've noted before, about $3 million in 2022. Some of the drivers of expenses as we go forward, are certainly going to be inflationary pressures, as Dave mentioned. Right now, we're actually seeing elevated vacancy factors, though, because of that. And so that might be a benefit to your expense in the near term, obviously, as we try to fill some of those positions. So I think there's right now Q1 has a lot of moving parts, I think Q2 will give you a better run rate. I just think overall, nothing's really changed from what we sort of talked about expenses being sort of flat, but slightly up year-over-year. Not including the Suncrest noise.
Ben Gerlinger: Got you. Okay, that's fair enough. That is helpful. And then, when you look back historically, like, you guys had a margin that approached from 4.5 at the peak or so. And obviously, the margin continues to go up after the Fed stops raising rates to do the lag effect. But with the Fed, likely, or at least position for increased rates 50 basis point clips for the next three meetings. Does that change how you guys are approaching your budgetary perspective? And then from there, is there anything that if you have that excess funds, you're looking to put that into?
Allen Nicholson: Well, I think Ben, couple things. The shape of the curve, and the velocity of those changes, obviously has a lot of impact on where our margins may go. In terms of investing the liquidity, I think we're going to continue to take a balanced approach, really looking to be opportunistic, about putting end-to-end securities, as well as looking at our loan growth. And then just making sure we manage where deposits continue to grow. So I think we just want to take a balanced approach, not turn around and invest all of it, even though yields might be attractive immediately. Because we don't want to be in a situation where we start to see any type of attrition on interest bearing deposits. That was unexpected. So we want to be prepared for that.
Dave Brager: Yes, I mean, obviously the advantage we have here is over 60% of our deposits are non-interest bearing so. As the Feds raising rates, 60% of our deposit base, at least today 60, 1%, 2% of our deposit base has a zero beta. It's not going to change, that mix could change slightly. But again, we're going to be very disciplined, just as we were in the last fed, rising rate environment cycle. So I think we're in pretty good shape. But we should start to see, as we talked about in the past, we're very asset sensitive and we continue to be asset sensitive. So we should start to see the benefit of that as we go through the rest of this year.
Ben Gerlinger: Got you. That's helpful. If I can sneak one more in, I know, you guys are pretty healthy currency, especially relative to the bank space today. I know that you also have a open repurchase. At what point is there kind of diminishing effects because as the higher valuation, the payback period keeps elongating. And there are a lot of banks in California. So kind of what's your appetite for future M&A?
Dave Brager: Yes, we're still interested in looking at M&A. There's nothing that's imminent, that we're talking about at this very moment. But I will say it sort of slowed down towards the end of last year, in the beginning of the first quarter, but there are conversations that are starting to pick up again. And as you mentioned, with our currency that that creates an opportunity for us, especially if there's something that we really want, but we're going to remain disciplined in our approach, we're looking for banks, we just changed our investor presentation. On the types of deals that we look for from 1 billion to 8 billion to 1 billion to 10 billion end market deals, within or adjacent to our footprint, we want it to be as similar of a culture as possible. So all of those things are factors that we evaluate when we're looking at potential opportunities. But, there are more opportunities and as part of our growth strategy, acquisitions, so we're open to those conversations. And we're looking and evaluating different deals all the time. I just have to commend Allen.
Operator: [Operator Instructions] And our next question coming from the line of, Kelly Motta with KBW. Your line is open.
Kelly Motta: Most of mine have been asked and answered already. I did see the M&A range taken up so that one just got stopped. Maybe you could talk since you still have quite a bit of cash on balance sheet, how we should be thinking about a normalized level of cash and kind of the cadence of the deployment of that into loans and securities. Thanks.
Allen Nicholson: Sure. I was talking about that a little bit a minute ago, Kelly, but I think, we're not going to turn 1. 5 billion. But we continue to look at bond yields are attractive right now, we are shortening the duration of some of the securities because, 15 year mortgage backed securities look a lot more attractive than they did a few months ago. But we still want to maintain a fair amount of liquidity on the balance sheet in this environment. So we'll be cautious, but I do expect us to continue to deploy some of that and the securities and as Dave talked about numbers.
Operator: [Operator Instructions] And at this time, there are no further questions. I would like to turn the call back over to Mr. Brager.
Dave Brager: Thank you. I want to thank everybody for joining us this quarter. We appreciate your interest and look forward to speaking with you in July for our second quarter 2022 earnings call. Please let Allen or I know if you have any questions. Have a great day and we'll talk to you all soon. Thanks.
Operator: Ladies and gentlemen, that does conclude our conference for today. Thank you for your participation. You may now disconnect.